Operator: Hello, and welcome to the J&J Snack Foods Fourth Quarter Earnings Conference Call. My name is Michelle and I will be the operator for today’s conference. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. [Operator Instructions] Please note that this conference is being recorded. I will now turn the call over to Mr. Gerry Shreiber, CEO and Founder. Mr. Shreiber, you may begin.
Gerry Shreiber: Thank you, Michelle. Good morning, participants, and welcome to our fourth quarter conference call. Here on the call today we have Dan Fachner, who is President of J&J, recently named President, about four months ago, is that right, Dan?
Dan Fachner: Yes.
Gerry Shreiber: Ken Plunk, who is a Senior Vice President and CFO; Dennis Moore, who is remote, but he’s our Senior Vice President and our soon to be retiring; Bob Radano, our COO; Bob Pape, our Senior Vice President of Sales; and Marjorie Roshkoff, Vice President and In House Counsel. I’ll now begin with the opening of the forward-looking statements. The forward-looking statements contained herein are subject to certain risks and uncertainties that could cause actual results to differ materially from those projected in the forward-looking statements. You are cautioned not to place undue reliance on these forward-looking statements, which reflect management’s analysis only as of the date hereof. We undertake no obligation to publicly revise or update these statements to reflect events or circumstances that arise after the date hereof. Continuing, results of operations and it’s no secret that we had some difficulties to deal with in the last three months to six months. Net sales decreased 19% for the quarter. Without sales from the recent acquisition of ICEE Distributors in October 2019 and BAMA as an Alabama ICEE in February of 2020, sales decreased 20% for the quarter. We had operating income of $3.9 million in the quarter, compared to operating income of $31.1 million a year ago. This was a significant improvement from our third quarter in which sales were down 34% from a year ago and which we had an operating loss of $19.4 million, compared to a operating income of $39 million a year ago. Food service, sales to food service customers decreased 21% in the quarter and 16% for the year. Again, our sales decline was significantly less in quarter four, than in our third quarter when sales were down 40% compared to a year ago. Our sales decreases for this quarter and for the third quarter were soft pretzels down 38% and 62% in the third quarter, frozen juice bars and Ices sales down 25% versus 37%. Churros down 48% versus 61%. Funnel cake down 44% versus 57%. Handheld sales were up 121% versus being down 13% and bakery sales were down 14% versus 23%. The increase in handheld sales was from a new item we began to sell to a warehouse club stores in August. We had an operating loss of $1.3 million in quarter four compared to a $18.2 million operating loss in the third quarter, compared to operating income of $18.6 million, a year ago, primarily because of lower production and sale volume due to the effect of COVID-19. This year’s quarter included approximately $1 million of cost for employee’s safety and increased COVID-19 compensation compared to $5 million in the third quarter. Additionally, as we said previously, we closed a manufacturing facility in the Midwest during the quarter and recorded an impairment charge of $5.1 million in the third quarter and an additional $1.3 million in the fourth quarter. We expect to reduce manufacturing overhead and distribution cost by about $7 million to $8 million annually as a result of the planned closure. Retail supermarkets and grocery, we continue to have strong growth in retail supermarket as sales of products to retail supermarkets were up 41% for the quarter and up 23% for the year, about the same increase in the fourth quarter as and in third quarter. As sales have increased to supermarkets generally since mid-March of 2020 due to COVID-19. Soft pretzel sales were up 79% for this quarter, that’s in retail grocery versus 74% for the third quarter. Sales of frozen juice bars and Italian Ices were up 37% versus 26%. Handheld sales were up 13% versus 6% and biscuit sales were up 12% versus 56% in the third quarter. We have introduced new products and programs intending to hold on to this growth and even to continue further growth. Operating income in our retail supermarket segment increased in the quarter to $8.7 million, up $7.9 million in the quarter and up from $1.4 million last year due to the much higher sales. ICEE and Frozen Beverages, which include ARCTIC BLAST, SLUSH PUPPIE and related sales. Total Frozen Beverage segment sales were down 40% in the quarter and 26% for the year with the fourth quarter sales improved from being down 56% from a year ago in the third quarter. Beverage sales were down 54% in the quarter, an improvement from being down 71% in the third quarter. Without the sales of ICEE Distributors and BAMA ICEE, beverage sales were down 62% versus being down 78% in the third quarter. Service revenue for others was down just 4% in the quarter versus being down 23% in the third quarter as we have been able to pick up new business over the past several months. Machine revenue was $6.7 million, down from $11.9 million last year, as last year had two large installation projects. We've had an operating loss in our Frozen Beverage segment of $3.5 million in our fourth quarter, much improved from the operating loss of $9.1 million in our third quarter, but down from operating income of $11 million in last year's fourth quarter. Consolidated, gross profit as a percentage of sales was 21% in the fourth quarter, up from 17% in the third quarter, but down from 30% in last year's quarter. Gross profit percentage decreased from last year, primarily because of lower volume in our Foodservice and Frozen Beverage segments, higher costs related to production disruptions due to volume mix changes and expenses related to employee safety and increased COVID-19 compensation and additional reserves of approximately $2.4 million for inventory losses, due to certain products not selling, products sold to schools for example. Total operating expenses decreased $11.9 million this quarter, a $13.2 million decrease not including the plant shutdown and impairment charges. And operating expenses as a percentage of sales was – were 19.8% in both this year's quarter and last year's quarter, a significant achievement considering the sharply lower sales. Our EBITDA for the past 12 months was $75 million. Capital spending and cash flow. Our cash and investment securities balance up $278 million was up $8 million from our June balance as our balance sheet remains – continues to remain strong and we have no liquidity issues during this COVID-19 period. $68 million of our investments are in corporate bonds with a purchase price yield to maturity of 2.8% of which $58 million mature within the next year. Our bank preferred stock and mutual funds, which is $14 million have stabilized in value, since the drop in value at the end of March. We continue to look for acquisitions – that's suitable acquisitions as a use of our cash. Our capital spending was $10 million in the quarter and $58 million for the year, up slightly from last year as we continue to invest in plant improvements and efficiencies and growing our business, have led to our looking at further manufacturing projects to improve efficiencies on an ongoing basis. A cash dividend of $0.575 a share was declared by our Board of Directors and paid on October 13, just a couple of weeks ago in 2020. We did not buy back any of our stock during the quarter. Our investment income in the quarter decrease of $2.0 million last year to $1.7 million this year, primarily as a function of lower interest rates and lower invested funds. Our net earnings for the quarter and the year benefited by a reduction of income tax expense of approximately $2 million related to state deferred income taxes. We expect to have an effective tax rate of 25% in 2021. Regarding where we are now, although our sales have steadily improved, compared to a year ago over the past six months or so, we cannot estimate whether our sales will continue to improve or even will remain at present levels in comparison to last year, considering the uncertainty surrounding COVID-19 and its continuing impact on the economy and on our customers. As we have previously noted, and have said approximately two-thirds of our sales and that's 67%, our to venues and locations that have either been shut down or sharply curtailed their foodservice operations. So we anticipate COVID-19 will continue to have a negative impact on our business. As we have $278 million of cash and marketable securities on our balance sheet, we do not expect to have any liquidity issues. We have operated our businesses during this quarter, both with short-term consideration and for long-term as well. We have placed a high for our priority on continuing to keep our employees safe while looking for ways to improve our business going forward, including reviews of our manufacturing and distribution network. We closed a manufacturing facility in the Midwest and we have worked with our customers developing significant new products to sell, as they continue to open up. We continue to be optimistic about our future during these tough times. Thank you for your continued interest and I will now turn over the call to Dan Fachner, who was recently named President of the J&J Group. For those of you who may not be aware of Dan, Dan has been running our ICEE operations, first as a Vice President of Sales for ICEE, then as President of Sales for ICEE and he is a long-term employee. All right, Dan, you're up.
Dan Fachner: Thank you, Gerry. We will now turn it over to any questions. Michelle?
Operator: Thank you so much, sir. We will now begin the question-and-answer session. [Operator Instructions] The first question in the queue comes from Jon Andersen. Your line is open. Please proceed.
Jon Andersen: Good morning, everybody.
Gerry Shreiber: Hey, Jon. How are you?
Jon Andersen: Hi, Dan. Hi, Gerry. How is everybody doing?
Gerry Shreiber: Everybody is doing fine, thank you.
Jon Andersen: Very good to hear. Safe and sound, I hope. I guess I wanted to start maybe, I'll ask about some of the trends you're seeing in the business, particularly foodservice and Frozen Beverages, the recovery this quarter, I guess you call it some recovery – significant recovery in the sales trends from Q3, where the business in aggregate was down, I think you said 34% to the current quarter, where sales were down 19%. What – how are you thinking about the progression as we go forward from here into fiscal 2021? Can we expect – have we hit kind of a plateau in terms of recovery or narrowing the sales gap relative to historical trend or can we continue to see sequential improvement as we move forward from here, if you could just talk a little bit about that, some of the puts and takes and how you're thinking about it?
Gerry Shreiber: Well, this is Gerry, Jon. We believe that we have hit the bottom and now we are bouncing back and not withstanding any kind of sharp impact from COVID-19, we expect to balance – perhaps even all the way back in the next couple of quarters. Go ahead, Dan.
Dan Fachner: So a good question, Jon. We have seen a progression in sales as you saw in our release and continue to see that both on the foodservice and the ICEE side those were the areas that were impacted the most during this COVID period of time and we're seeing that progress back but slowly. Some of the places that we do business with and both of those two categories will open up but will continue to open up in a slow fashion, such like the theaters, ballparks those types, amusement park type locations. But we are seeing them continue to grow. We do believe that we have hit the bottom as Gerry said and feel like we'll continue to see that comeback over this quarter and then hopefully, strongly in the third and fourth quarter of our coming year.
Jon Andersen: Okay.
Dennis Moore: Right, and then – But – this is Dennis. I mean this is Dennis. Obviously a lot of this is an unknown and depends on what opens up. I mean, as Dan just said, locations are opening up such a movie theaters, schools to some extent, but it's a slow process. And now with the significant increase in cases that we're seeing across the country we are hopeful, for sure that we're going to get back to a new world where by third and fourth quarter next year, but certainly, it is an unknown and I think everyone understands that it's an unknown.
Jon Andersen: Right. So using that kind of thought process, even in a constructive scenario where you get back to maybe your historical run rate level in the second half of fiscal 2021, we're really talking about fiscal 2022 on a full year basis maybe getting back to where you were prior to kind of a COVID situation. So I mean this is going to be a process and it's going to – is that a fair statement that we're looking at least probably a couple of years here before you get back to kind of pre-COVID, top line run rate levels, which would make a lot of sense given the current situation.
Dennis Moore: Certainly.
Dan Fachner: John, this is Dan. That – there is a lot of uncertainty out there and so you don't know that for sure but that would be our expectations as well, that by the time that we get to 2022, that business would be back to its normal basis of what you've seen prior our pre-COVID period of time.
Dennis Moore: Now in addition having said that, we also are hopeful and we have already picked up some business that we did not have pre-COVID so we – that should help us to get closer even prior to everything grows back to normal.
Jon Andersen: Let's talk about that. So that's a great transition, so can you talk a little bit more whoever is most appropriate to talk about it, some of the new business that you are picking up, obviously there's a lot happening on the retail supermarket channel and then it sounds like there are some other discrete business wins, help us understand that a little bit.
Gerry Shreiber: Like you just answered that force, Jon. Thank you. What we have – when we…
Jon Andersen: There is a lot more to it than that, Gerry.
Gerry Shreiber: Yes. When we slowed down in foodservice really across the board and when you think about it, we lost all of spring training baseball, which is not – it's not insignificant, I mean everybody in Florida and Arizona would go to the games for nominal fee and in some cases for free and they would buy from the concessionaires and always had one, two, or even in some cases three products in the concessionaires. So those sales were wiped off the books and going back even a bit further, we had the slowdown in the other sports and over 500 movie theaters that were closed. So these are all showing signs of creeping back, not necessarily jumping back but like Dan said in a year or so we expect to be back to our previous levels. In addition, our sales force and our marketing people were challenged to develop new products and sales and we're starting to see some of the fruits of that labor now including a recent launch of the product that the Costco asks us to make for them and it's a chicken bake which is being sold in several hundred of the Costco sidebar cafes on the outskirts of the store, and we have really high hopes for that, that could be as much as like between $10 million and $25 million netting to us and sales.
Jon Andersen: Okay. Great.
Dan Fachner: Jon as you mentioned, we've been really fortunate the retail side of the business has continued to grow, we saw a nice increases in the quarter and expect that to continue for a while and as Gerry mentioned, we've been out there, meeting with our strategic customers that we have and trying to grow the business and have had some really nice successes with that.
Jon Andersen: Great, that's helpful. One last one for me. So you closed the manufacturing plant in the Midwest during the quarter. I just want to make sure I understand, when did that close and does that mean that the $7 million to $8 million of annual cost savings you referred to, did they kick in right now as of the close of that plant?
Gerry Shreiber: They will begin…
Dennis Moore: Yes. They somewhat to very limited extent kicked in the quarter that just finished in our fourth quarter but going forward they should be there, starting October.
Jon Andersen: Okay. Okay, great. And that's an annual number the $7 million to $8 million?
Dennis Moore: Correct.
Dan Fachner: It is.
Jon Andersen: Okay, thanks so much. Congrats on the improvement and good luck going forward.
Gerry Shreiber: Thank you, Jon.
Dan Fachner: Thank you, Jon.
Dennis Moore: Okay.
Operator: The next question in the queue comes from Todd Brooks. Mr. Brooks, your line is open. Please proceed.
Todd Brooks: Hey, good morning everybody. Nice job on the quarter. It is looking all well.
Gerry Shreiber: Good morning, Todd. Who are you with?
Todd Brooks: I with CL King & Associates.
Gerry Shreiber: Very good. Thank you.
Dan Fachner: Good morning, Todd. Good to hear you.
Todd Brooks: Dan, good to hear you as well. Few questions this morning. One, if we can talk about – kind of manufacturing efficiency how that worked out over the quarter? I know in Q3, there were some chasing and producing product where you had to meet the rise retail demand. How did that smooth out over the quarter? Is there still inefficiency based on where you're producing versus where you're selling and opportunities for that to improve in fiscal 2021?
Gerry Shreiber: We're pretty much on target.
Dan Fachner: It's a continual improvement for us, Todd, with something that we're looking at each and every day. We have had a change in mix of products that we sell and so it's put some stress on some of our plants and we've found ways to relieve that stress in some of the other plants, but it's something that we monitor on a daily basis.
Todd Brooks: Okay, great and then COVID – total COVID costs in the quarter were $1 million or that was just the cost for safety related COVID expenses?
Dan Fachner: Yes, that was for safety-related.
Todd Brooks: Were there other COVID cost outside of that, if we're looking to evaluate the margins?
Dan Fachner: No, they weren't really. Dennis, correct me if I'm wrong, but there weren't really any other COVID-related expenses in this quarter.
Dennis Moore: That's correct.
Todd Brooks: Okay, great. And then if you look to, you talked about the one facility that closed at the end of the quarter and the savings from it. As you're getting more of a sense of the go forward mix of your business. Retail versus food service, thoughts on the current manufacturing footprint and further opportunities for consolidation in that footprint?
Dan Fachner: We're doing a lot of work on that. As you know we're starting our New Year right now and have discount through the budgeting process and evaluation of our different plants and what we're producing out of each one and trying to gain as many efficiencies as we possibly can. Today, there aren't any plans for any other consolidation. We feel like we've probably got the right number for what we need today. There might be some rotation of different products and different plants. But we feel pretty comfortable with where we're at right now.
Todd Brooks: Okay, great. And then just a final one from me and looking at the marketing expenditure in the quarter down, it looks like a little over $10 million year-over-year down sequentially. Since a – the reality in the environment is you're able to sell as much as capacity constraints are allowing you to sell now, so that you're not having to invest in marketing in the same way and thoughts for spending on marketing as we roll into fiscal 2021. Thanks.
Gerry Shreiber: Dennis, you want to touch on that?
Dennis Moore: Yes. Well, I don't know if you've noticed it, but we did change the caption on our income statement to say marketing and selling expenses, because it is, it's been a little confusing. We used to just say marketing and it – and it's really a combination of both. So, and what we – what people would traditionally think of as marketing, advertising and things like that is a relatively small portion of that number. The bigger part of it is selling expenses such as our sales people, sales commissions, such as demos – and things like that. So, yes, we have reached a point where in terms of the selling function that has come down considerably to where it was and some marketing as well. And yes, we wouldn't expect it to improve from this level. I think that's where your question was.
Todd Brooks: Yes. So this kind of run rate is the right rate to annualize for fiscal 2021?
Dennis Moore: Yes, in that area. Yes. Well, it's, – but again it – that number will be somewhat a function of sales as well since there are expenses in there like broker commission, for example, that are tied to sales levels.
Todd Brooks: Okay. Okay, great. Thanks. And Dennis, good luck, if this really is your retirement conference call here.
Dennis Moore: Thank you, Todd. I appreciate it.
Dan Fachner: Thank you, Todd.
Operator: And sir, we do have, it looks like a three more questions in the queue. The next one comes from Ryan Bell. Your line is open. Please proceed.
Ryan Bell: Hi, everyone.
Dan Fachner: Good morning, Ryan.
Ryan Bell: The retail business continues to stay pretty elevated with kind of data, would you build to offer any perspective about the growth there in general and maybe any potential to get incremental products on shelves? And then any commentary on supermarket inventories like how, and if there are any gaps between shipments and so on?
Dan Fachner: Sure. Thank you for the question, Ryan. Our retail end does continue to grow and we’re really proud of what it’s done. And we think we have some really good things in the hopper as well. Bob Pape, our Senior Vice President of Sales for that division is here today and I am going to let him go ahead and answer some of those questions.
Bob Pape: Yes. And so as we see the retail business, there is really three things that are driving there. One is the continued strong performance of at-home consumption because of COVID-19. Additionally, we did grow our distribution base with some new products across both the snack as well as novelty categories. And thirdly, we received some strong support from some of our key customers who are in a position to promote during the fourth quarter and are looking continue to do the same as we enter our new fiscal year.
Dan Fachner: Bob, do you want to touch on some of the new product as well...
Bob Pape: Yes, new products really are the – are super – under the SUPERPRETZEL brand are soft filled Pretzel Bites. The Auntie Anne’s brand for pretzel products continue to perform and we’ve also added because of the ability for us to now and the ICEE brand to a national distribution model we’re able to gain some distribution there as well with several key retailers.
Ryan Bell: Okay, that’s helpful. So I mean – it seems like you’re able to lean a little bit harder into the retail space right now.
Bob Pape: We think we are and we anticipate that being strong for the next quarter as well. And so we’re feeling good about that side of our business as it continues to grow. I think we have some really neat new products that will continue to gain some momentum.
Ryan Bell: Okay, thanks. Thanks for the context there and I know you touched on this a bit earlier, but you’re talking about some of the intra-quarter improvement for food service. And ICEE, I mean, are there any government policy or policies that – the particular venues are taking that may be able to speed up any of the recovery in that part of the business? I know if you go to restaurants, they put up barriers at tables. Are there any ways that can be, I guess, tweaked to see a greater level of improvement?
Dan Fachner: Well, that certainly is some of the issues in that sector of our business is there are some governmental restrictions in the theaters and in restaurants across the country. As we see them start to lighten up, I think we’ll see our sales continue to grow. I’m not sure that we can have much of an impact on the government as they make those decisions. But we are hopeful that they’ll continue to open up from what we’ve seen today and we’ll see that business start to slowly come back as we’ve talked above.
Ryan Bell: Okay, thank you. And with respect to cost management policies that have already been instituted, are there any other details that you could provide? I know you closed the plan and you provided some of that information. Are there any other incremental cost control measures that could be taken to shield from the negative impacts from the fixed cost deleveraging over the next few months?
Dan Fachner: Again, that’s something that we’re taking a really hard look at, I kind of liken it to analogy. We’re picking up rocks and looking up underneath them and seeing where we potentially could gain some efficiencies and I would say we’re looking at all angles of our business to be able to do that. One of the areas that we’re focused on right now is distribution and we think there is some potential savings on that side of it and we’re actively looking and seeing what we can do to do that.
Ryan Bell: Okay. And how does the M&A landscape look right now, relative to the pre-COVID environment? And has it changed anything about your thinking with respect to strategies as we get into calendar 2021 and beyond?
Gerry Shreiber: This is Gerry. Let me comment on that rather quickly. We continue to look at possible acquisitions since we have accumulated all the cash that we have and our process is still very stringent. The fit has to be right, the quality of the products, whether they be new products or something to support our current product line has to fit. We’ve made acquisitions in the past. We continue to look for acquisitions as a good use of our cash and chances are we will make acquisitions in the future, but there is nothing that is in line now for the immediate future.
Ryan Bell: Okay, thanks for all the detailed answers. I’ll pass it on to someone else.
Dan Fachner: Thank you, Ryan.
Operator: All right. And the next question comes from [indiscernible] your line is open. Please proceed.
Unidentified Analyst: Good morning. One of the more striking things that I’ve noticed as it relates to your end markets is the great inconsistency as it relates to the protocols around self-service drink stations and convenience stores or similar venues. And I was wondering if you could kind of give us an idea of what percentage of your doors in the ICEE business are actually seeing replenishment right now?
Dan Fachner: Chris, I want to just make sure I understand your question. Are you asking the percentage of our business that is self-service compared to customer our crew serves?
Unidentified Analyst: That would be helpful. But then within the convenience store channel, I mean, literally as I’ve traveled the country going two blocks, one guy could be fully open with no restrictions and then the next guy has everything shut down. So I was just trying to get a feel for the increases that we’ve seen in that business, as it – how much of its related to company’s reopening those stations versus where we’re actually seeing replenishment of people that have already been open?
Dan Fachner: Right. Yes, so the ICEE business certainly has been affected with shutdowns. I don’t know that it was or has been specifically focused on where it’s self-serve, and where it’s not self-serve, that’s been an issue for us from the time that COVID started and we came up with a lot of different ways that the customer can use the product in a self-serve environment, but that really hasn’t been the – surprisingly, I guess you could say hasn’t really been the focus of our customers typically it’s – whether they’ve just decided to open up that area or not. We have convenience stores across the country. Like you said that have been open now for two or three months in a self-serve environment and we have some locations even today that are talking about moving the equipment to a self-serve environment. So it’s a little bit all over the place with that, but that has not hampered it to date.
Unidentified Analyst: Okay. And then the success that you guys have had at retail has been pretty impressive, especially given that – I’m sure everybody is trying to get entry into that channel. And so I was just wondering if the success there is kind of, more a function that you guys just really didn’t target that area too heavily in the past or was there some kind of – actually some strong demand that you guys witnessed when you started addressing that channel?
Gerry Shreiber: Actually...
Unidentified Analyst: Are you just surprising that you’ve been so successful there so fast?
Gerry Shreiber: Well, the closure of the food service locations, whether they be at a major mass merchandiser or elsewhere has kind of push like a creeping win the people into the supermarket. The supermarket growth which has been significant this quarter. We hope it will continue and it’s because the more dialog with the management and the supermarket and we’re looking to put additional products in. And keep in mind, most of the products that we’re making, we have a unique market share and in some cases, it’s in the 70% to 80% market share and with some of our new products it’s going to be in that area, in addition.
Dan Fachner: In addition to that, Chris, we have a great sales force out there who have been in constant contact with our customers, with our strategic customers and our large customers across the country and have been able to gain market share during this time.
Unidentified Analyst: Great. Keep it up guys.
Bob Pape: If I could – it’s Bob Pape. If I could add one other thing I think it’s also credit to our manufacturing and operations people who kept the supply chain open, kept running our plants and our customers relied on us, and that has paid off, both now and moving into the future. So I need to give some credit to the folks that are in our manufacturing facilities.
Dan Fachner: It’s a great point Bob.
Unidentified Analyst: Thanks for the color.
Dan Fachner: Thank you, Chris.
Operator: And the next question to queue comes from [indiscernible] your line is open. Please proceed.
Unidentified Analyst: Thanks for taking my question. I wanted to return to the sales and marketing expense, which had averaged about $24 million a quarter, but before the pandemic, it was only $16 million this past quarter. So I think you had said that $16 million is more – is the better starting point but – and we’ll grow so much sales but can you be more specific on how you were able to reduce sales and marketing cost so much?
Dan Fachner: Den, if you want to touch on that?
Dennis Moore: Well, the biggest drop obviously had to do with the drop in sales and some of the expenses that we might have had in the past, have not come back yet such as doing demos at warehouse club stores, which have been eliminated since the beginning of this pandemic. We’ve also been able to reduce obviously some of the fixed costs that are in there and. And but the number – I guess the number to look at is the number of 6.5% of sales in the quarter, compared to I think is roughly running or round about a little over 8% last year, for the full year as a percent of sales. So I think probably 6.5% is probably a little bit low and we’ll probably tend back into the 7.5% to 8% range going forward.
Unidentified Analyst: Okay, that’s helpful. I appreciate the color and thank you.
Dan Fachner: Thank you, Chris.
Dennis Moore: You’re welcome.
Operator: All right. And the last question in the queue comes from Jon Anderson. Your line is open.
Jon Anderson: Hello again.
Dan Fachner: Hi Jon.
Jon Anderson: Thanks for taking the follow-up. I just wanted to ask about this schools part of your foodservice business. So last year I think schools were opened in the – obviously in the fall, that changed I think to some extent in the spring, but how much could that or should we be thinking about that weighing on the business as we move into the fiscal first quarter and – or maybe the first half of fiscal 2021?
Dennis Moore: Well those sales are roughly $70 plus million on an annual basis or work pre-COVID with $70 million and $80 million and right now, they’re running still less than half and I think may be closer to one-third of what they had been running year ago at this time.
Jon Anderson: Okay, thank you very much.
Dennis Moore: You’re welcome.
Dan Fachner: Thank you, Jon.
Operator: And that was the last question in the queue, gentlemen.
Dan Fachner: Great. Well, thank you very much, Michelle. Thank you for everybody listening in today. We appreciate you being a part of J&J Snack Foods and we appreciate you being on the call today and look forward to speaking with you in a quarter from now.
Operator: Thank you, ladies and gentlemen. This concludes today’s teleconference. Thank you for participating. You may now disconnect.
Gerry Shreiber: Thank you, Michelle.